Operator: Ladies and gentlemen, thank you for joining us, and welcome to the LendingClub Corporation Q4 2025 Earnings Conference Call. After today's prepared remarks, we will host a question and answer session. If you would like to ask a question, please raise your hand. If you have dialed in to today's call, please press 9 to raise your hand and 6 to unmute. I will now hand the conference over to Artem Nalivayko, Head of Investor Relations. Please go ahead.
Artem Nalivayko: Thank you, and good afternoon. Welcome to LendingClub Corporation's fourth quarter and full year 2025 earnings conference call. Joining me today to talk about our results are Scott Sanborn, CEO, and Drew LaBenne, CFO. You can find the presentation accompanying our earnings release on the Investor Relations section of our website. On the call, in addition to questions from analysts, we will also be answering some of the questions that were submitted for consideration via email or through the SAi Technologies platform. Our remarks today will include forward-looking statements, including with respect to our competitive advantages, demand for our loans and marketplace products, and future business and financial performance. Our actual results may differ materially from those contemplated by these forward-looking statements. Factors that could cause these results to differ materially are described in today's press release and earnings presentation. Any forward-looking statements that we make on this call are based on current expectations and assumptions, and we undertake no obligation to update these statements as a result of new information or future events. Our remarks also include non-GAAP measures relating to our performance, including tangible book value per common share, pre-provision net revenue, and return on tangible common equity. You can find more information on our use of non-GAAP measures and a reconciliation to the most directly comparable GAAP measures in today's earnings release and presentation. Finally, please note all financial comparisons in today's prepared remarks are up to the prior year period unless otherwise noted. And now I'd like to turn the call over to Scott.
Scott Sanborn: Alright. Thank you, Artem. Welcome, everyone. We had a strong close to what was one of the best years in LendingClub Corporation's history. Our results are validating our strategy and demonstrating our commitment to deliver a combination of growth, profitability, and shareholder returns. In the quarter, we grew originations 40% year on year to $2.6 billion, with all product lines contributing to the growth. We also more than tripled return on tangible common equity to almost 12%. For the full year, we grew originations by 33% to nearly $10 billion and more than doubled earnings per share. And we are looking forward to building on our success. Our substantial originations growth was driven by continued product innovation and marketing expansion, while also supported by improved marketplace pricing and sustained credit outperformance. Our discipline, combined with our advanced underwriting capabilities, delivered 40 to 50% better credit performance versus our competitive set. And we're seeing stable performance and consistency in our borrowers' behavior. Strong credit performance continues to support loan investor demand, with marketplace revenue increasing 36% year on year, driven by higher marketplace volumes and loan sales pricing improving back towards our historical range. We introduced a rated structured certificate product in 2025 designed to meet the needs of insurance capital. Insurance investors have a cost of funds and a risk appetite similar to banks, and so growth in this segment should further support the marketplace. We initiated our first direct forward flow agreement in Q4, with a top US insurance company, which is a nice addition to the previously announced agreements with BlackRock and BlueOwl. Investors remain selective about who they choose as partners. Our depth of credit data, performance history, and stability as a bank positions LendingClub Corporation as a counterparty of choice. Turning to our bank, our balance sheet is continuing to grow, with our loan portfolio driving net interest income up 14% year over year. Our funding is supported by our award-winning deposit products that deliver real value to customers while also driving ongoing engagement with LendingClub Corporation, supporting efficient revenue growth over the long term. LevelUp Savings, which rewards good savings behavior, is growing by double digits and driving 20 to 30% more logins per month than our legacy savings product. Personal loan borrowers account for over 15% of new accounts, and borrowers who have paid off their loans are using the product to build a financial cushion, accumulating average balances of over $15,000. Our more recently launched LevelUp Checking is also growing by double digits, with 60% of new accounts coming from personal loan borrowers, 84% of whom say they are now more likely to consider a LendingClub Corporation loan in the future. This virtuous cycle is exactly how our engagement model is designed to work. Importantly, we entered 2026 in a great position with multiple competitive strengths. First is our unmatched underwriting advantage enabled by proprietary models and informed by over 150 billion cells of data. Second are our products that attract members for life by delivering instant meaningful value. Third are our experiences that keep members coming back. Fourth is our agile, scalable technology which is engineered for innovation. And fifth is our digital marketplace bank business model, that combines the speed of a fintech and the resiliency of a bank. The best of both worlds. These competitive strengths are driving success in our core personal loan debt consolidation use case and have application far beyond, opening additional vectors for growth. Our significant advantages in funding reliability, underwriting, and user experience are allowing us to win over the competition and expand our major purchase business. Building on this momentum, last quarter, we shared our planned entry into the half-trillion-dollar home improvement financing market, an industry that aligns well with our capabilities. With our acquisition of foundational technology, hiring of leadership and key talent, and our first distribution partnership signed, we are well-positioned for growth over the medium term. We are currently integrating the acquired code base and remain on track to launch the partnership midyear. Our announced entry has also generated substantial inbound interest from additional partners, presenting potential opportunities to strengthen our trajectory. We're excited about the year ahead and expect our marketing investments to continue scaling, credit performance to remain best in class, and operating discipline in AI-driven to help expand margins. We're also excited to launch our new brand later in the year, to better reflect the scale of our ambition. Before I turn it over to Drew, I want to take a moment to thank Hans Morris, who will be stepping down from our board in March after thirteen years of extraordinary contributions. Hans has been instrumental to me and to LendingClub Corporation, from early investor to long-serving board chair, and his impact on the company is difficult to overstate. I am deeply grateful for his leadership and support. We are very fortunate that Tim Mayopoulos, who's been a high-impact member of the LendingClub Corporation board for nearly a decade, and who brings extensive experience in banking and fintech, will be assuming the role of chairman. With that, Drew, I'll turn it over to you.
Drew LaBenne: Thanks, Scott. And good afternoon, everyone. Scott already covered the high-level results that made 2025 a fantastic year. So let's get into the details of our fourth quarter. Turning to Page 10 of our earnings presentation, loan originations grew by 40% to $2.6 billion. Borrower demand remains strong as the value we are providing continues to be compelling. Loan investor demand also remains strong, as marketplace loan sales prices continued to increase in the quarter. Our credit performance sets us apart from our competitive set and is one of the reasons we have been able to sell these loans without any need to provide credit enhancements. Leveraging one of the benefits of being a bank, we grew our held-for-sale extended seasoning portfolio to $1.8 billion, consistent with our strategy to expand our balance sheet while maintaining an inventory of seasoned loans for our marketplace buyers. We also retained nearly $500 million of loans in our held-for-investment portfolio. Now let's turn to the two components of revenue on page 11. Noninterest income grew 38% to $103 million, benefiting from higher marketplace sales volumes, improved loan sales prices, and continued strong credit performance. Net interest income increased 14% to $163 million, another all-time high, supported by a larger portfolio of interest-earning assets and continued funding cost optimization. Turning now to page 12, our net interest margin came in at 6%, up 56 basis points over the prior year. I'll note we retained higher cash balances to enable accelerated growth in 2026, which resulted in a sequential decline in net interest margin. If cash balances had been flat, net interest margin would have been 17 basis points higher and nearly flat to the prior quarter. We expect the deployment of this liquidity to be supportive of net interest margin as we grow the loan portfolio, in line with what we shared at investor day. On balance sheet funding, we ended the quarter at $9.8 billion in deposits, which was an increase of 8% compared to the prior year, and we continue to see healthy deposit trends across our product offerings. Turning to expenses on page 13, noninterest expense was $169 million, up 19% year over year. The majority of the sequential and year-over-year rise was due to planned higher marketing spend as we continue to invest in paid channels to unlock future growth. Now let's move on to credit where performance remains excellent. We continue to outperform the industry with delinquency and charge-off metrics well below our competitive set. Provision for credit losses was $47 million, reflecting disciplined underwriting and stable consumer credit performance. I note this quarter, a higher percentage of our held-for-investment loans were from our major purchase finance business, which is a longer-duration asset and therefore carries a higher day-one provision. In terms of net charge-off ratio, we experienced strong performance across all our vintages and we were down 80 basis points over the prior year. As we discussed on the last call, we saw the expected sequential increase as more recent vintages mature. On page 14, our expectation lifetime losses on our held-for-investment portfolio under CECL are also stable to improving across all annual vintages, including 2025, which contains a higher level of qualitative reserves. Going forward, given the stability of these metrics, and our move to fair value option for all new loan originations, we are no longer going to be updating this slide on a quarterly basis. Turning to the balance sheet, total assets grew to $11.6 billion, up 9% year over year. Our balance sheet remains a competitive strength, allowing us to generate recurring revenue through retained loans, maintaining the flexibility to scale up marketplace volume as loan investor demand grows. We ended the quarter well-capitalized with strong liquidity, and positioned to fund future growth. I'd like to provide a brief update on the $100 million share repurchase and acquisition program we announced in November. In Q4, we deployed approximately $12 million at an average share price of $17.65 and expect to continue to deploy additional excess capital through the program to support our shareholders. Moving to page 15, net income before taxes of $50 million more than quadrupled compared to a year ago. Taxes for the quarter were $8.5 million, reflecting an effective tax rate of 16.9% and included a nonrecurring benefit for research and development tax credits. There were also some beneficial changes to California and Massachusetts tax law in the quarter. As a result, we expect a normalized effective tax rate of approximately 24% going forward, with some potential for variability due to the valuation of stock grants and other factors. All of this translated to diluted earnings per share of 35¢, and tangible book value per share of $12.30. Our ROTCE of 11.9% came in above the high end of our guidance range. For the full year, we earned $136 million with diluted earnings per share of $1.16 and ROTCE of 10.2%. Now let's turn to our outlook. Looking ahead, we remain encouraged by the underlying fundamentals of our business, and our guidance assumes a healthy economy with stable macro conditions throughout the year. Before I get into the guide, I'd like to spend a few minutes on our move to fair value option. As we discussed at investor day, this change is about simplifying our financials by better aligning the timing of revenue and losses, and creating a consistent accounting framework across our marketplace and bank businesses. As you can see on page 18, over time, we expect this to result in a higher rate of return on invested capital by removing the front-loaded CECL impact we currently experience as we grow held-for-investment loans. We recognize that many of you have questions around how this change flows through the financials, so we've added a new section to this earnings presentation to walk through the mechanics in detail. This includes how fair value is established at origination, how revenue and credit flow through the P&L after day one, and how fair value adjustments will show up in noninterest income. To make this tangible, page 21 provides an illustrative single vintage example showing both day one and day two economics. And page 22 shows the select financial measures of our current fair value over the last two quarters. As one-time support to help with first-quarter modeling, we are also providing estimates for both fair value adjustments and credit provisioning. Expect total fair value adjustments in the first quarter to be roughly double fourth-quarter 2025 levels due to three factors. First, there is more volume receiving a day-one fair value adjustment as we are transitioning 100% of all new held-for-investment originations to fair value option. Second, loans from the major purchase finance business have a longer duration and a higher discount rate, which will mean a higher day-one fair value adjustment. Third, day-two fair value adjustments will also be larger due to a higher average balance of loans carried under fair value during the quarter. Separately, moving to fair value means there will be no day-one provision for loan losses on new originations. We will still have CECL expense from the remaining legacy portfolio, which we currently estimate at approximately $10 million for the quarter, subject to quarterly variability. Further, we will no longer defer loan origination fee revenue nor marketing expense for held-for-investment loans, which means both line items should increase from Q4 2025 to Q1 2026, independent of any changes in origination volume. For Q1 2026, we expect to deliver loan originations of $2.55 billion to $2.65 billion, representing 28 to 33% year-over-year growth. Additional investments in marketing to fuel 2026 growth. For the full year 2026, we expect originations of $11.6 billion to $12.6 billion, up 21% to 31% year over year. On earnings for Q1 2026, we expect to deliver diluted earnings per share of $0.34 to $0.39, a 240 to 290% increase year over year. For the full year 2026, we expect to deliver $1.65 to $1.80 earnings per share, consistent with the 13 to 15% near-term ROTCE target we shared at investor day, and up 42 to 55% year over year. With that, we'll open it up for Q&A.
Operator: Thank you. We will now begin the question and answer session. Please limit yourself to one question and one follow-up. If you would like to ask a question, please raise your hand now. If you have dialed in to today's call, please press 9 to raise your hand and 6 to unmute. Please stand by as we compile the Q&A roster. And your first question comes from the line of Tim Switzer with KBW. Your line is open. Please go ahead.
Tim Switzer: Hey, good afternoon, guys. Thank you for taking my questions. So the first one I have is on the expense trajectory here. There is a little bit of an increase across several line items this quarter. You know, the comp line was flattish, but then, you know, marketing was up quite a bit. Equipment went higher. Other expenses seemed a little bit elevated. Now is this kind of just some weird one-offs, or is this indicative of a little bit higher investment cost you guys are putting in the company right now as you look to ramp up?
Drew LaBenne: Yeah. So I'd say, first of all, I think marketing spend was the obvious one that increased quarter over quarter. That was, I think, the vast majority of the increase. And as we've signaled, you know, last quarter and at Investor Day, we're continuing to invest in ramping our marketing channels, improving our capabilities, improving our modeling, and really, you know, a lot of this investment is to help 2026 performance. And so you can probably expect us to continue more of that as we go forward in Q1 as well. The other expenses, I'd say, you know, were largely noise in the quarter for the most part. Even having an investor day costs a little bit of money. So you gotta factor that in. But in all seriousness, I think as we go into Q1, other investments we'll expect to make would be, you know, ramping up our investment in people for the growth in the home improvement business. And then as we're looking to do the rebrand in the first half of 2026, there'll be some expenses related to that as well. And all of that is included in the guide.
Scott Sanborn: I say investment, just to be clear, investment in the '26 rollout.
Drew LaBenne: '26. Yep.
Tim Switzer: Okay. So you're saying the investment cost should start to moderate into the second half of the year?
Scott Sanborn: I'd say when we're through the transition. That's right. So we're not being specific on the timing of that yet, but we're obviously starting the work now.
Tim Switzer: Okay. And your comment on marketing, like, is the marketing required for targeted? Is that higher than what you were maybe previously expecting? Or, like, what's the efficiency looking like so far?
Scott Sanborn: Oh, if you remember, if you just go back to what we talked about at Investor Day. So one, all of our product categories were growing last year, and we're expecting future growth this year. Not all of them are marketing-driven in terms of their origination, so the SBA program and our purchase finance, you know, those are driven by different dynamics, as same with home improvement. But specific to PL, there's really three areas that we're pushing on for growth. One is product innovation. You know, we talked about how TopUp has successfully driven increases in take rate and higher originations. We have more ideas in the pipeline around the product innovation. There's funnel efficiency, you know, as magic as our experience feels, there are still evolutions possible to make it faster and more frictionless, and that'll be a growth driver. And then the third is marketing. And there, you know, we shared we're still that there are certain things that are quite robust, and I'd say, you know, close to very mature, like our partnership program, and I think we're getting there on direct mail and we're well on our way with paid search. But there are other areas that we're still quite early innings at having the right data models, the right attribution, and that paid social display connected TV. And I would say those are future growth vectors for us. They're, you know, one of many drivers of origination growth. And, you know, I think we gave at Investor Day that over the medium term, we think there's a couple billion dollars worth of originations to come from those added channels. What you're seeing us do now is normally for, you know, Tim, you've been following the business for a while. We normally don't push on new initiatives like this in Q4 and Q1. We usually wait till Q2 and Q3 because they are seasonally just a lot more forgiving and favorable. But given the momentum in the business, we're pulling those in to Q4 and Q1, which means they are going to be, you know, test programs and I would call this R&D spend. They're always, you know, less efficient because it's a learning agenda as opposed to a volume agenda. We're not driving much volume through it, but we are spending dollars. It'll be even less efficient when we pull them into less seasonably favorable quarters because response rates and all that are lower. But we think the trade-off is worth it because it, you know, sets us up for sustained growth, you know, later in the year and in the years beyond.
Tim Switzer: Okay. Got it. That was all really helpful. One last question, and then I'll jump back in the queue. At the investor day, your slide deck indicated you're looking for a lower efficiency rate over time to '25. I think closer to the 55 to 60% range. But given all the, you know, the like, 2026 kind of transition year, the accounting is changing a little bit. Is the efficiency ratio moving up in '26, and then it starts to move back down as we get past the impact of the accounting? And, you know, you guys start to get better scale.
Drew LaBenne: That's yeah. You're precisely right. So if you think about this transition from CECL to fair value, early in '26 or now, basically, in this first quarter, there's a bit of a tailwind that's created, and we're using some of that tailwind to do these investments that we were just talking about. Right? Reinvesting because once that tailwind fades, we want to make sure we continue to have momentum in growth top line and bottom line going forward. So we're using the first part of the year to make those investments to accelerate the back half of the year. Once you get through 2026, that comparison point that impacts efficiency ratio, you know, in PPNR basically is gone, and then your year-over-year comps will normalize at that point. But what's really important to note is you have these dynamics going on, but what we're getting is more pull-through by making this move. Right? So even though you're having some of these impacts on revenue and expenses, what you're pulling through to the bottom line because of the offset provision is higher.
Tim Switzer: Got it. Alright. That makes total sense. I'll jump back in line. Thank you. And your next question comes from the line of Vincent Caintic with BTIG.
Operator: Your line is open. Please go ahead.
Vincent Caintic: Hey. Good afternoon. Thanks for taking my questions, and thanks for all the detail on the accounting change. I do want to focus on that. I understood that very helpful slide with slide 21. So are these key drivers sort of the discount rate 7%? Is that sort of what we should be thinking about going forward? I think in the prepared remarks, you kind of talked a bit about the, you know, the large the major purchase finance and other things having higher discount rates and higher duration. So you launch new products, I'm wondering how these assumptions will evolve, and if you could give us like, how we should think about the duration of these other products and the rates of these other products and coupons as well, that would be very helpful. Thank you.
Drew LaBenne: Yeah. Great. I mean, there's only a certain level of detail we're gonna give just for competitive reasons, but it's a great question. And the first thing I'd say is just it's right on there, but this is illustrative of one vintage coming in. So the 7.3% discount rate in this illustration, we're actually at 7.1% discount rate for the quarter, so we're a little lower than this illustration. But how that discount rate will move if everything else remains equal, it will depend on the mix of loans that we're putting into fair value. And so some of the businesses like major purchase finance that have longer duration and they're less developed. Secondary market or marketplace are going to have a higher discount rate. Not necessarily all of that is true for home improvement where there's a very developed secondary market and marketplace. But it also is longer duration. So net-net, you'll have some offsetting effects on an asset class like that. But over time, it's gonna depend on what the mix within our held-for-sale portfolio looks like. But you can expect that we're probably adding more diversification of those other product types coming into the portfolio.
Vincent Caintic: That's helpful. Thank you. And then I guess, relatedly, you know, now that the accounting is sort of making the market the held-for-investment loans look similar to the marketplace loans, at least from your income statement and balance sheet now. Like, your thoughts on the mix between what you will sell, what you'll maybe season and then sell versus what you'd return retain on the balance sheet?
Drew LaBenne: Yeah. Interesting that and I'm glad you asked because there's another point I want to make as well. So we will continue to have an inventory of held-for-sale loans. We've, as we've said before, we found that program to be very helpful to onboard new investors and to make opportunistic sales and maybe better prices than we would otherwise get. There's actually, you know, one new development in CECL accounting this quarter which could be beneficial not for us, but for potential bank buyers. So I think one of the reasons that the bank pipeline has been slow to evolve is banks having to take that upfront CECL charge, sometimes it's difficult to get over that hump before you start building a portfolio of purchased LendingClub Corporation loans. Under the new CECL guidance, if you buy loans seasoned more than ninety days, you no longer have that upfront impact as you would if you were originating loans or buying or buying newly originated loans. So I'm not saying this is an immediate unlock in the bank pipeline is about to explode open. But I think net-net, it will be a positive for bank investors that are considering purchasing from us. So for all the reasons I mentioned before and for that reason, we'll continue to hold a held-for-sale portfolio available.
Scott Sanborn: Yeah. Do you want to talk a little bit about the other part of the question, which was, you know, now that they look the same in period aspirations for balance sheet growth. You know, we gave some targets at investor day.
Drew LaBenne: Yeah. I mean, I think in terms of balance sheet growth and aspirations, nothing has changed from investor day regarding that. As far as our mix going forward in terms of structured certificate securities, and I'll just call it whole loans, which would be loans held for investment and loans held for sale. We'd say that that distribution that we're at today probably roughly holds as we go forward in terms of our forecast.
Vincent Caintic: Okay. Great. Thanks very much.
Operator: And your next question comes from John Hecht of Jefferies. Your line is open. Please go ahead.
John Hecht: Can you guys hear me?
Scott Sanborn: Yes. Hey, John.
John Hecht: Hey, guys. How are you? The I just one question I have is just on the fair value adjustment. You give the discount rate, is there some way we can take that and decide for what kind of annualized loss rate might be, I guess, in your primary product?
Drew LaBenne: I don't know that you can exactly get to that. What we are going to do next starting next year, is we'll update our disclosures to include the charge-off much like we do today just for the CECL portfolio. We'll start to do that for the CECL the run of CECL portfolio, and be held for sale portfolio combined. But currently, you know, under our platform mix, we're still in that four and a half to 5% loss rate estimate on an ANCL basis. And then, you know, as we add new products, we think they have similar profiles, but, obviously, you know, we can we might move around their mix that could have some minor adjustments to those numbers.
John Hecht: Okay. But the general tenor of the credit is consistent with what you've been underwriting, you know, for the last several quarters.
Scott Sanborn: Yes. Yeah. No major no major pivots. Yeah. If you just think about, John, what we're doing is we're taking the capabilities, but I think we've demonstrated that we're quite good at, you know, appropriately assessing the risk, pricing the risk, you know, delivering value through the cycle from, you know, all the way through servicing just applying it to different categories, but it is the same core skill set. So different channels have slightly different SKUs, but the overall return profile coupons and all that are pretty similar. Like, purchase finance as an example, has a higher average FICO score, but the actual ROEs on that, we expect to be similar and in line. And home improvement obviously has homeowners, skews heavily homeowners and slightly higher coupon.
John Hecht: Okay. And then just so I'm clear, the revenue yield on the loans is gonna be more akin to the discount rate. So the net interest margin will be reflective of that lower yield. But the offset from the upfront fair value mark is bigger than that. Is that an accurate description?
Drew LaBenne: The coupon in the NIM take in the net interest margin table will be higher than the discount rate. Where the offset will be is in those fair value adjustments downward. So what you need to do is take the component of interest income offset with the component the fair value adjustments from noninterest income, and that will get you the revenue yield equal to the discount rate.
John Hecht: Okay. And then from that, there you also subtract charge-offs the fair value marks. Is that correct?
Drew LaBenne: Those are included in those adjustments.
John Hecht: Okay. And then final question is, you know, it seems like a fairly good environment from the perspective of relatively stable credit. I think the macro expectations are reasonably constructive too. And then there's a lot of capital in the markets. Maybe could you guys describe your thoughts on the operating market and the competitive environment within your subset of products?
Drew LaBenne: Well, I'll start with the marketplace, and Scott can cover, you know, credit dynamics and competition. The marketplace is very healthy. There is a, as you said, there is a lot of capital out there to be deployed, very active environment, you know, where the insurance capital that we're now starting to sell loans to and having more conversations, you know, we think has been a great addition to our marketplace customers that we are working with now. And as I mentioned, this CECL change in CECL accounting, hopefully, can give a little more tailwind to opening up some more banks as well.
Scott Sanborn: Yeah. And on the competitive front, John, I'd say, you know, I think we say this almost every call. This is a competitive market. It always been a competitive market. Who we are competing with at any point in the cycle changes. You know, this past quarter, we had, you know, a fairly aggressive, ambitious, reasonably new entrant kind of pull out of the market similar to, you know, Marcus's arrival with much fanfare and then retraction. So we have that, but that's offset by some of the direct fintech competition who are, you know, on balance being more aggressive given, you know, the availability of marketplace capital. So let's say no real change in our view of how that's affecting what we do. We remain, you know, we feel very good about our ability to compete. We've shared multiple times statistics not only on the credit side, but also on our pull-through rate in our marketing and how we're able to convert the customers we want. So but we're just gonna be very selective, and we agree. We're, you know, as you can see in our materials, our credit looks very stable. And that's because we're maintaining our discipline. It's not clear that we're seeing that across the full industry. So we'll be watching.
John Hecht: Great. Thank you guys very much.
Operator: And your next question comes from Kyle Joseph of Stephens. Line is open. Please go ahead. A reminder, you may need to unmute.
Kyle Joseph: Sorry about that. You guys hear me alright?
Scott Sanborn: Yes. Yep.
Kyle Joseph: Sorry about that. Anyway, yeah, kinda piggybacking on John's on macro, just looking at your DQ curves on slide nine. You know, anything you'd say about kind of the k-shaped economy and how you're thinking about 2026. We, you know, we've been reading a lot about elevated tax refunds, but yeah, just kind of a little bit deeper dive in terms of macro and how you're thinking about things.
Scott Sanborn: Yeah. So, you know, I think the most important thing is post the inflationary period a few years ago, we did move upmarket, upmarket in terms of income, upmarket in terms of FICO. And, you know, as you can see there, we're seeing stable results. The, you know, customer we serve, you know, who we call the motivated middle, we think represent a lot of TAM for us both immediately today, but also over time as we evolve the use cases and credit products we serve at. You know, on tax refunds, we are expecting, right, or it is expected, it's not us, that this will be a larger than usual year. That, you know, that can have a positive effect on payment and a temporarily downward effect on loan demand, but, you know, all of that's factored into our guide.
Kyle Joseph: I got it. And then, you know, not asking you guys to speculate any more than, you know, we can, but, you know, I think we'd be a little bit remiss if we didn't address the, you know, potential rate cap, obviously, given, you know, kind of your core product is on credit card refi, but just kind of want to get your initial thoughts and how you guys are thinking about, you know, everything that's out there.
Scott Sanborn: Yeah. I mean, obviously, there's not a lot of specifics on how this could actually take shape and what it could do, and I think there's at the moment, not a lot of confidence that at least as initially articulated, anything like that would come through. You know, our view is there is an affordable alternative to credit cards available today. No government action required. And that's LendingClub Corporation. And, you know, we're already saving people, you know, 700 basis points off of the cards. And, you know, no price controls needed.
Kyle Joseph: Got it. Fair enough. Thank you for taking my questions.
Operator: And your next question comes from David Scharf of Citizens Capital Markets. Your line is open. Please go ahead.
David Scharf: Hey. Good afternoon. Thanks for taking my questions. Most have been addressed. So a couple things I just wanted to ask if you could clarify. One, actually, just very near term. On the Q1 origination outlook, did I hear you correctly that the guide kind of factors in a larger than normal refund season in pay down cycle?
Scott Sanborn: Well, what I'd say is I think that's pretty difficult to factor in with any degree of specificity. But, you know, our experience has been that larger than normal refund seasons, as I said, kind of flow through our business as I indicated, which is customer payment rates are higher, so you see good DQ trends, but you can see, you know, maybe, different demand for credit temporarily. I wouldn't expect anything significant, but, obviously, that'll be difficult to really predict, and we're not gonna give intra-quarter guidance. Then and hard to measure the impact of that together with any other, you know, broader macro events going on. So, you know, we're very confident that we've got a lot of tools in the toolkit to deliver the outlook that we provided.
David Scharf: Got it. Got it. Fair enough. And then, just digging back to the fair value assumptions, it sounds like on the next quarter Q1 call, you know, we'll get kind of the obviously, current period losses and charge-off rate embedded in that change in fair value line. Is it, I think John may have asked this, but is it fair to assume that embedded in your earnings guidance is sort of a flattish year-over-year loss rate in that fair value mark? Or is there anything about the asset mix? You know, there've been more so many references to, you know, larger purchase, longer duration loans. Does are there any nuances that might kind of raise the loss rate purely due to the asset mix?
Drew LaBenne: No. I don't think so. I mean, I think we're assuming we're obviously assuming a stable environment as we go through the year. We will have an increase in duration because our as our purchase finance, the major purchase finance business is, you know, growing and doing well, and home improvement will come on. So duration will go up. But in terms of the ANCLs, I'm not expecting a major shift in that. Now I think if you look at the net charge-off rate, there's seasonality, there's vintages, seasoning in there. There's a lot of portfolios. But in terms of the annual loss rates, we're not assuming a major change in those numbers.
David Scharf: Got it. And, you know, you know, in regarding the vintages, you know, obviously, this is we're laying to rest this slide where you give the sort of components of provisioning and reserving for amortized cost accounting, is there a way to translate, you know, that sort of most recent vintage macro layer, you know, that one, one and a half percent kind of conservative upfront provisioning. Does that translate into a certain number of basis points of discount on a day-one fair value mark going forward?
Drew LaBenne: Well, under fair value, we're not explicitly layering in qualitative reserves as we do under CECL. So it's a difference in methodology. Now if we see more stress coming through the portfolio, we may have, you know, take that through the fair value marks in some manner, but we're not going to speculate on what's gonna happen two years from now to the economy. In terms of how we reserve, which I think has been personally one of the most frustrating parts of CECL accounting.
David Scharf: Yeah. No. Fair enough. I think you're about the seventh company we cover that's adopted the fair value option.
Drew LaBenne: Yeah. Yeah.
David Scharf: That's all I have. Thank you.
Scott Sanborn: Alright. Thanks.
Operator: And your next question comes from Giuliano Bologna of Compass Point. Your line is open. Please go ahead. And a reminder that you may have to unmute.
Giuliano Bologna: Thank you. Congrats on another good quarter. And I appreciate all the, you know, the new detail on the fair value disclosures. One thing that, you know, I don't know if it's come up yet, but under fair value, there shouldn't be any more deferrals when it comes to marketing expenses. Is there a rough way to think about, you know, where your marketing expenses would be as a percentage of volume, you know, in the fourth quarter and third quarter, you know, for example, just to get a rough sense of what, you know, your marketing costs would have translated to on a pro forma basis?
Drew LaBenne: Yeah. I mean, I think it would have been higher, obviously. We haven't disclosed the number. I mean, I think the obviously, the offset to that is also higher origination fees or origination fees are no longer deferred in that net. We're net beneficiary of those two dynamics happening together. Right? So I think if you're thinking about the marketing spend deferral, you know, then you then probably gotta think about the origination fee deferral as well.
Giuliano Bologna: Got it. Yeah. And, I mean, obviously, the net impact is positive. So that's, you know, it's all significantly positive. When I think about the outlook for volumes for the or at least any guide for the year, it implies, you know, especially after one Q that you'd kind of reaccelerate from a volume perspective. You know, that they'll probably be flat to up slightly in the first quarter, but then you'd see a, you know, a pretty good reacceleration of volumes, you know, to hit, you know, kind of the midpoint of the volume guidance? Is that a good way to think of it that you should have a good step up into Q2, Q3?
Drew LaBenne: That's correct. Yep. That's exactly right. And, you know, there's part of that is our normal seasonality, but, obviously, we believe we're going to have more benefits beyond that from the newer business lines that we're launching and the investments in scaling marketing paying off.
Giuliano Bologna: That is very helpful. Yeah. I appreciate all the, you know, the enhanced disclosure, and I will jump back in the queue. Thank you.
Operator: And next in the queue is Tim Switzer of KBW. Your line is open. Please go ahead.
Tim Switzer: Hey, guys. Thanks for taking my questions again. One of the follow-ups I have is just on AI. You know, how I know you guys are using that quite a bit in the back office, but, you know, what areas that are a little bit more forward-facing that's helping you with either growth, or maybe getting a little bit better pricing and or demand? I know you guys had, like, the Cushion acquisition a few years ago, and I think you've mentioned it's helped speed up the doc verification process as applications come through. But just wondering if you guys could update us on that.
Scott Sanborn: Yeah. So, you know, I'd say, at this point, there's probably not a department in the company that is untouched in some way. I think we have over 60 initiatives underway across the company, and you're right. They range from, you know, operations efficiency, you know, guiding agents on next best action to taking in, you know, sort of diverting customer contacts whatsoever to, you know, compliance, marketing material generation, audit, testing, generation. Obviously, heavy, heavy, heavy use in the engineering group for flow development and streamlining our QA efforts. On the growth side, you've hit the couple areas that we're really focused on. Now there's obviously longer pull in the tent, marketing, and credit. You know, continued evolution of our efforts there, which we won't talk about too much because we view that as part of our secret sauce. But then within the customer experience, the Cushion acquisition, including the team, is really will be evolving the NetIQ experience to bring more intelligence to evaluating people's transactions and history and helping, you know, recommend the actions to customers that improve their financial position. So and, you know, one you mentioned, we put into testing in Q4 and are, you know, expanding across the board is for the rare cases where we do need to require some kind of documentation that we can't get electronically, using AI to both assess whether the documents are what we ask for, whether or not they are real and not fraudulent, and then to extract that information, populate models, and render a decision is all improving, you know, or reducing the friction in the funnel and improving our pull-through. So there's just a ton of things happening across the company.
Tim Switzer: Okay. Got it. And the last question I have it's a difficult one, but you guys the guide for this year is the 13 to 15% near-term ROTC guide you gave. Can you kind of help us map out how we get to the 18 to 20% medium-term target over time? Like, with this fair value accounting, is it a gradual steady build quarter over quarter as you guys continue to scale up? Or is there a point and I know it can this is very dependent on the pace of originations and the seasoning of the portfolio. Was there a point where maybe, you know, the ROTCE increase starts to slow down as, you know, the portfolio gets larger and that day-two impact on the fair value gets larger. Am I thinking about that a little bit wrong?
Drew LaBenne: I think no. I mean, I think it will be our goal would be a steady, you know, increase up towards those medium-term targets. The dynamics of moving from CECL to fair value, I will say, by the time we're entering 2027, they are largely they should be largely behind us. And from there, you know, we're continuing growth through all the steps we laid out at Investor Day. You know, mainly growing originations, growing margin, expecting a little help from the Fed, obviously, but that's not the biggest component of it.
Scott Sanborn: Growing originations, yeah. Growing the balance sheet, both are gonna be accretive to the bottom line.
Tim Switzer: I guess another way to think about it is the impact to profitability is relatively steady as long as you continue to grow the balance sheet at 25%. So, like, if you're growing it with, say, $4 billion of loans or if you're growing it at $7 billion of loans, that doesn't impact, you know, the profitability as long as you're still growing a similar level. Is that the right way to think about it?
Drew LaBenne: Yeah. I mean, the only growth headwind that we used to have was CECL. Right? And so with that gone, you know, the growth we should have positive operating leverage from growth, or maybe I should say positive pull-through now from growth. As we grow over these next three years. So but the keys are really, you know, grow the business lines we have, the expansion in the home improvement, growing originations, growing the balance sheet, and then pulling it through to net income.
Tim Switzer: Okay. Got it. Thanks for taking all my questions.
Scott Sanborn: Thanks.
Operator: There are no further questions online. I will now turn the call back to Artem Nalivayko for retail investor questions.
Artem Nalivayko: Alright. Thank you, Kevin. So, Scott and Drew, we have a couple questions here that were submitted by our retail investors via say technologies and email. So the first question is on the rebrand. The question is, once a name change has been made, what are the marketing plans that you have in place?
Scott Sanborn: Yeah. So just a reminder, what's the of the rebrand? The initial LendingClub Corporation brand really was tied to our pioneering model of peer-to-peer lending, which is obviously no longer part of the model. We're now a bank. We don't just do lending. We've, you know, launched multiple consumer-facing savings products and checking, of which the name LendingClub Corporation on your debit card is quite strange. So the rebrand is really meant to capture the broader ambition of the company, what we do for our customers beyond just lending. So the plan is to do that later this year. Our first focus, you know, there could be a question of, like, what are we doing between now and then? We are mapping out the literally thousands of touchpoints we have with our customers across email, mobile app, third-party sites, and call center and all the rest and making sure that we've got everything captured, make sure our equity translates from the old brand to the new brand. And then, yeah, we will be putting some weight behind the new brand. I wouldn't expect, you know, we're not gonna go from being a highly data-driven, you know, efficient curve-oriented direct response marketer to getting stadium rights in 2026. You're not gonna see a big step change in how we think about marketing. But this is absolutely the beginning of us moving, you know, further up the funnel, if you will, as our offering to consumers broadens and what we stand for broadens, the marketing tactics we can use can also get more broad. And so, you know, we do expect over time, you'll be seeing us, you know, beyond these direct response channels just won't be immediate.
Artem Nalivayko: Thank you. So the second question saw a recent press release on a partnership with a company called Wonder. Can you please elaborate on that?
Scott Sanborn: Yeah. So if you recall, an investment we talked about how we're taking our capabilities in unsecured consumer and which, you know, is applied. Our largest use case is debt consolidation, credit card refi, but, you know, those same capabilities apply to any way you can use a personal loan, which is to finance any large purchase. We've been seeing really great traction there. We think there's a real we feel a real need in the space, which is we've got the resilient stable funding of a bank, but we've got the customer experience and the speed and the interaction model of a fintech. So we've been gaining distribution and growing that business. Our, you know, our kind of core verticals that we're in today, like elective medical, dental, teeth implants, fertility, tutoring, few others, and we're expanding into others, ophthalmology, wellness. You know, these are all we're testing some purchase verticals. So that's what that is. These and other things, which some of which get announced and some of which we're just doing as part of our testing, are all meant to assess consumer demand in incremental verticals that'll diversify our use case, diversify our acquisition channels, and provide future vectors for growth. So excited about it, seeing very solid traction in the business overall, and excited to keep growing it.
Artem Nalivayko: Perfect. And last question. Just in terms of increasing shareholder value, in the long term? How does leadership intend to drive shareholder value?
Drew LaBenne: Alright. Well, always a great question, and thank you, retail investor, for that. I'd say the number rather than me explaining it all again on this call, I'd say the number one thing investors should do is go watch our Investor Day that we did in November because I think there's a lot of time dedicated to going through the strategy and how we expect it to evolve over the next several years. But citing, you know, what we accomplished in 2025, a lot of which we already covered on the call, for the full year. We grew originations 33%, we grew revenue 27%, and we grew diluted EPS by 158% year over year. So I think 2025 was a great year. And if you look at our guide for 2026, we're looking to obviously improve upon performance again as we go into this year. Then finally, we announced the share repurchase and acquisition program of $100 million, which, you know, we think is also beneficial to shareholders now and in the future.
Artem Nalivayko: Alright. Thanks, Drew. Alright. So with that, we'll wrap up our fourth quarter and full year 2025 earnings conference call. Thank you all for joining us today, and if you have any questions, please email us at ir@lendingclub.com. Thank you.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.